Operator: Welcome to the Vopak Analyst Presentation FY 2020.  Today, I am pleased -- I'll hand over the call to Laurens de Graaf, Head of Investor Relations. Please go ahead with your meeting.
Laurens de Graaf: Good morning, everyone, and welcome to our 2020 Q4 and full year results. My name is Laurens de Graaf, Head of Investor Relations. And today, our CEO, Eelco Hoekstra; our CFO, Gerard Paulides, will guide you to our latest results. Also, our COO, Frits Eulderink, is here and will be available for questions during the Q&A session. We will refer to the full year 2020 analyst presentation which you can follow-on screen and download from our website. After the presentation, we will have the opportunity for Q&A, and a replay of the call will be made available on our website.
Eelco Hoekstra: Thank you, Laurens, and a very good morning, everyone of you who's joining us on the call here today. It is my pleasure to share with you our fourth quarter and full year results of 2020. As usual, I will give a short introduction on the results and the execution of our strategy, and Gerard will update you on the financial performance. So let's begin with Slide 4 and review the highlights. 2020 has been an exceptional year, in which we have grown EBITDA post divestments.  We delivered good results in a more volatile business environment, and we have outperformed on costs to defend EBITDA and delivered growth through expansion projects despite construction delays as a result of COVID-19. The pandemic has impacted the industries we serve. We've seen unprecedented changes in the supply and demand of gas, chemicals and oil and subsequently, a response of our customers to their portfolios and supply chains.  We've experienced an acceleration in the energy transition, and we've seen the high dependency on digital infrastructure. Our strategy is aligned with these trends, and strategy delivery progressed well in 2020. We continue transforming our portfolio for the future and invested more than EUR 500 million in growth, resulting in an additional 1.6 million cubic meters of capacity to meet growing customer demand, particularly in Asia and the Americas. Good progress was especially made in our industrial terminal portfolio with the acquisition of the Dow terminals on the U.S. Gulf Coast with our partner, BlackRock.  Our digital transformation is progressing well, and the pandemic highlighted the benefits of our leading digital infrastructure. We continued the rollout of our cloud-based system for our terminals, as part of our broader efforts to deliver our digital architecture to support the industrial logistic chains. We're excited by the future prospects and keep our focus on performance and long-term value creation. We have momentum in capturing opportunities to serve large-scale industrial clusters, and we are advancing our efforts in developing infrastructure to support the energy transition. We will transform our portfolio and position our company strategically towards more sustainable forms of energy and feedstock. We continue investing in growth and aim to allocate the majority of our growth investments to industrial, gas and new energies infrastructure. 
Gerard Paulides: Thank you, Eelco, and a very good morning to everyone. As Eelco shared, we are actively positioning ourselves for the future. This makes our investment case exciting and part of the new economy. Meanwhile, we also focus on performance today, and I will update you on the financial performance of 2020. For more details, I'll refer to the Vopak 2020 annual report as published this morning, and it is also worthwhile to note that we have formatted the annual report in line with the European single electronic format requirements, which is a unique first position of Vopak even in Europe to do this. Let's turn to the financial highlights. Vopak has adjusted quickly to the changing business dynamics of 2020 and EBITDA post divestments increased EUR 20 million, absorbing negative currency effects and a one-off negative accounting result related to our joint venture in Malaysia. We increased revenues post divestments and delivered our cost efficiency measures to defend EBITDA. Earnings per share came in at EUR 2.42 for 2020.  Our financial framework and capital allocation priorities are unchanged, and we continue to invest in growth, sustaining and surface CapEx and our digital infrastructure. In 2020, we invested EUR 525 million in growth and aim to invest EUR 300 million to EUR 350 million in 2021. On the returns to shareholders, we executed and completed our share buyback program of EUR 100 million, demonstrating our commitment to shareholder distribution. Our cash performance and balance sheet supports continued growth and increased distributions to shareholders, and we are growing our dividend to EUR 1.20. Before I update you on the 2020 results, I would like to first address the performance of the fourth quarter. Fourth quarter 2020, EBITDA of EUR 189 million was negatively impacted by EUR 20 million one-off negative accounting results reported in our joint venture in Malaysia, as part of Asian Middle East division. Excluding this item, EBITDA would have been EUR 209 million, and that would have been in line with -- that is in line with consensus. Our industrial terminal PT2SB in Malaysia is a strong asset. It is high value -- it is a high-value constructed and delivered a significantly -- and delivered at significantly lower construction costs.  Incident at our customers' asset resulted in some delays in final commissioning. And the fourth quarter is impacted by a one-off negative accounting result derived from final discussions on commissioning, tariffs, fixed asset charges and deferred tax implications. The commercial model of the terminal is very strong based on a long-term industrial terminal concept. And next year, i.e., this year, 2021, we plan for more stable performance than we have seen throughout 2019 and 2020 for this particular asset.  And we also expect a EUR 50 million cash inflow for Vopak from share capital repayments in 2021. This may actually possibly delay into 2022. Now on top of all those moving parts, early 2020, we also received a distribution of 805 -- EUR 85 million, sorry, in cash early 2020. And so a lot of moving parts on this joint venture, as I also emphasized in our Q3 earnings update call. EBITDA growth was supported by strong performance in the Americas division from improved chemical contributions at Deer Park. Positive performance of the Europe and Africa division was supported by contributions from our new assets in Durban and Lesedi in South Africa that are now in operation after construction delays in 2020, which partly related to COVID-19. Let's look at the divisional performance and the trends in the quarter. The America division continued its strong performance in occupancy rates and results. The Asian Middle East results were impacted by the one-off negative accounting result in Q4. The occupancy rate was influenced by out-of-service capacity in Singapore and a challenging chemical market. Some oil tanks have been brought back into operation in the fourth quarter in Singapore. The China and North Asia division continued to benefit from a good chemical storage market, driven by supply chain opportunities. And performance of Europe and Africa reflected the upswing in occupancy in the oil segment and contribution from new assets. Let me take you through our financial performance of the year in a bit more detail. In our last call, we highlighted the various levers that we -- that have impacted our performance in 2020. And the starting point to look at these numbers is the new portfolio after having divested 5 oil terminals against an attractive value. Changes in the business environment resulted in a net negative contribution. Market dynamics in oil markets and chemical markets for consumable products were positive.  However, currency headwinds and reduced chemical throughput have reduced our performance. In response, we've taken cost measures to defend EBITDA, and we've delivered on growth projects despite the construction delays that I already mentioned. Excluding the Malaysia item, EBITDA was EUR 812 million in 2020. On the next page, we will have a look at 2020 versus 2019 EBITDA, but now with a divisional performance angle. The European and Africa division post divestments had a strong performance, supported by higher occupancy rates throughout the year and contribution from new assets. Strong performance in the Americas division was supported by the good contribution of growth Investments in Canada, Mexico and Brazil, and some of these were commissioned in 2019, some in 2020.  EBITDA came in at EUR 792 million, an increase of EUR 20 million post investments and absorbing the currency headwinds and the Malaysia item. The portfolio delivered a return on average capital employed of 11.6% in 2020. Let's move on to cash flow. This year, we increased our cash flow from operations and pushed for higher dividends from our joint ventures.  On top of that, we strictly managed working capital and benefited from derivative settlements reported in operating cash flow. Sustaining service and IT investments were EUR 315 million, in line with last year, and including investment for maintenance and inspections of out-of-service capacity in Rotterdam and Singapore.  Our investment momentum continues and resulted in EUR 525 million gross investments for the year, in line with our ambition and including the noteworthy Dow transaction in Q4. Continuing with investment phasing. We aim to create value by allocating capital to attractive growth projects. In the last years, we have announced and delivered a significant number of projects focused on growing our portfolio towards industrial and gas terminals. We continue to invest in growth and aim to allocate the majority of our growth investments to industrial, gas and new energy infrastructures. Our positive view on chemicals has not changed.  New growth investments, however, in oil infrastructure, are expected to be reduced and will mostly be targeted towards strengthening our existing leading hub positions. For 2021, gross investment could amount to a range of EUR 300 million to EUR 350 million, as I mentioned. And guidance for sustaining serves and IT CapEx remains unchanged.  For the period '20 to '22, we may spend EUR 750 million to EUR 850 million on sustaining CapEx, and we expect to spend annually EUR 30 million to EUR 50 million in IT CapEx to complete and roll out our Vopak Digital Terminal Management System by the end of 2022 or early '23. We're confident with the ranges that we've set earlier. We expect to remain within these limits for '21 and '22. Let's look at the balance sheet. Our total debt position at the end of December was EUR 1.9 billion. This excludes lease liabilities.  Our total net debt-to-EBITDA ratio was 2.72, in the target range of 2.5 to 3 and compared to 2.75 at the start of the year. The senior net debt-to-EBITDA ratio was 2.52. With our portfolio performance and robust balance sheet, we are well positioned to support the growth investments. Moving to shareholder distributions. Our dividend policy is to pay an annual stable to rising cash dividend in balance with the management view on the payout ratio. Earnings per share resulted in EUR 2.42, and we announced a 4% increase in our cash dividend to EUR 1.20 per ordinary share, reflecting our continued resilient performance in a turbulent year of 2020. Let me summarize, once again, the financial highlights for this year. We delivered 3% EBITDA increase post divestments, supported by growth projects and good cost management, absorbing foreign exchange movements. Our financial framework and capital allocation are unchanged, and we delivered on the strategy execution. We have changed this segment capital allocation, as I explained earlier, across the different business segments.  We will continue to allocate our capital to value-accretive growth opportunities in balance with an efficient and robust capital structure and distributing cash to shareholders. Now looking ahead, and I'm almost wrapping up and then we will move to Q&A. So let me close out with a few comments on what 2021 may bring. New contributions from growth projects that we commissioned in 2020 and will commission in 2021 to replace EBITDA from divested terminals could add between EUR 30 million to EUR 50 million in 2021. This is subject to market conditions and currency exchange movements. We continue our cost focus into 2020 and our outlook for 2021 is a cost level of EUR 615 million, subject to currency movements. This reflects additional cost for growth assets coming on stream.  We reiterate our ambition to allocate between EUR 300 million and EUR 350 million to growth. And in the coming years, the majority of our growth investments will be allocated to industrial gas and new energy infrastructure. With that, I want to hand back to Eelco, and we move to Q&A. Eelco, back to you.
Eelco Hoekstra: Thank you very much, Gerard. So let me summarize our key messages before we go to Q&A. We delivered good financial results in a volatile business environment. Most importantly, our strategy is working. We are well positioned and have momentum in capturing opportunities to serve large-scale industrial clusters, and therefore, we continue to invest 2021 with confidence. So that concludes our presentation and prepared remarks. And with that, I would like to hand it back to the operator and to open the call for those who have questions after this presentation.
Operator:  Our first question comes from the line of David Kerstens of Jefferies International.
David Kerstens: I've got 3 questions, please. First, on capacity out-of-service for maintenance. I understand that was a large headwind in 2020, and I was wondering where in the bridge on Page 17 that is included? Is that in the growth contribution from new projects? And related to this is, I understand that you said in Singapore and now you took back into service some of that capacity. Will this imply a material tailwind to EBITDA in full year '21?  Then the second question, I think you highlighted on the slide that the growth projects generate or are done at around 7x EBITDA. I estimate that implies a total EBITDA contribution from growth projects of at least EUR 200 million over the period 2019 to 2022. And I think you said in the presentation around EUR 35 million to EUR 40 million was in 2020, and you expect EUR 30 million to EUR 50 million in 2021. If you assume that EUR 50 million was already done in full year '19, that would imply a material pickup in 2022. Is that correct?  And is that around EUR 60 million to EUR 80 million and caused by the fact that you had some delays to the commissioning of capacity in 2020? And then finally, Maersk announced their first carbon neutral vessel this morning using methanol -- biomethanol, and I think they have moved away from hydrogen and ammonia as a transport fuel. How does it affect your investment decisions in these areas?
Eelco Hoekstra: David, good to hear you again. I think the first 2 questions, I think, is -- are questions to the presentation of Gerard. So I think that he can answer that best. I think if we talk about future fuels, particular technology readiness and choices, I think Gerard -- sorry, Frits is very well positioned to give an answer there. So I think why don't we start with the last one, which is the choices for the different fuels in the Maritime sector. So Frits, could you enlighten David, please?
Frits Eulderink: Yes. Thanks, David, for the question, and good morning to everybody also from my side. This is Frits Eulderink speaking. I think we see a lot of, I would say, movement in candidates for potential future shipping fuels and certainly, methanol and particularly biomethanol is one of them. And I think it's actually a fuel that would suit us as Vopak very well. But we do believe that if you look at the quantities required that it is likely that there will also be alternatives developed. So whereas biomethanol for us is something that we could very well supply to our infrastructure. We also believe we have to continue looking for fuels that may have their own set of advantages. For instance, a higher energy density. Hence, the higher energy density of methanol is not the best. So therefore, we do think that we want to remain openminded.  We certainly don't rule out that over time things like ammonia or the liquid organic hydrogen carriers that we have invested in through hydrogenous start to play a role because they are particularly suitable to ships because they combine a relatively low danger level with a relatively high energy volumetric densities, in other words, energy content per amount of volume. So we could also see these in future play a role in ships.  But for now, I think we see this market developing in all sorts of, I would say, areas and time will tell which one will become the most dominant. But for sure, this is not a game that this is clearly settled and over.
Eelco Hoekstra: Thank you, Frits. Then I turn to Gerard for the first 2 questions about the out-of-service capacity and how that's represented for '21 in the numbers and the growth projects in contribution in EBITDA. So here, please.
Gerard Paulides: Yes. Thank you. Thank you, David. The out-of-surface is not in the contribution from growth. So the movement in out-of-service is what you see in the movement in occupancy. We have the occupancy increased nicely in the course of 2020 over the quarters. Average consolidated occupancy 88% and proportional 90%, and the exit rate for consolidated occupancy was 90%, so higher than the average of the quarters in 2020. That was mainly as a result of the movements in oil, less movement in chemicals.  The chemicals variability came mostly from the variable income rather than occupancy. We did bring down out-of-service capacity, which was, indeed, as you point out, very high when we started the year 2020 and managed to bring that down considerably over the year. The start of the year out-of-service was about 1.6% in Q1 in cubic meters and we have more or less half that in the -- in Q4. So we will continue to manage that.  The most out-of-service actually is at the moment in Singapore and in Botlek. Botlek continues with an intense program to reposition its assets. That is partly sustaining CapEx where you have to take pipes and tanks out of service and it's partly new capital for Botlek, which is adding new capacity. So the movement, as I said, is not in growth. It is in our regular results, and it has contributed to the 3% increase in EBITDA in aggregate. So hopefully, that positions that. On the EBITDA multiple, the -- when we build ourselves, we typically can indeed build at that type of range, as you indicate. And what we have clarified is the contribution of EUR 35 million to EUR 40 million in 2020 and the expectation of EUR 30 million to EUR 50 million in 2021 from projects commissioned in '20 and projects that will be commissioned in 2021. Of course, there's continued contribution and additional contributions over time from new investments in 2022.  And of course, we also saw contributions from our investment over the past 3 years in 2029 -- sorry, yes, in 2019. So that is the spread of the contributions, EUR 35 million to EUR 40 million in '20, EUR 30 million to 50 million in 2021, and that is reflective of those type of multiples. Now what you also see is that the construction period, i.e., allocating your capital and actually commissioning for industrial terminals is longer than, let's say, traditional brownfield extensions or smaller projects. So you need to build in a little bit more time for the industrial component to come through. But the essence of what these multiples imply is correct.  And hopefully, we've given you some insight. We invested EUR 500 million 2020 and we expect to invest another EUR 300 million to EUR 350 million in 2021.
David Kerstens: Yes. Great. Can I ask 1 quick question. Do you roughly know what the contribution was in 2019 from new growth projects?
Gerard Paulides: I will look that up, and I'll get back to you, David. I don't have that with me.
Operator: Our next question comes from the line of Luuk Van Beek of Degroof Petercam.
Luuk Van Beek: First, a question about your cost guidance. You have quite some new projects coming online in 2021. Should you expect a significant free operating expenses or start-up costs for that? And is it included in your guidance? And my second question is on the impairment in Panama. Can you give a bit more background there and indicate if we should expect a negative impact on the contribution from the terminal going forward?
Eelco Hoekstra: Thank you, Luuk. Gerard, I think you can easily answer these questions. So the floor is yours.
Gerard Paulides: Okay. A bit of perspective on cost. The cost that we guide to is EUR 615 million. We operated the company in '19 at EUR 633 million. We've replaced some assets, added some new assets. All these numbers are inclusive of all the consolidated assets. So it is all assets that are operational, and they are running costs, and they may also be costs that are expensed in commissioning or starting up. So it's an all-inclusive number.  And so far, we've managed to continue to put healthy pressure on the cost levels to -- as Eelco said earlier, defend our EBITDA. In terms of Panama, Panama is an asset where we have a setup where we own capacity of 375,000 cubic meters, and we operate another, let's say, 500,000 for Chevron, the party who is also present on the site. In the own setup, we have a total of 9 tanks. And the occupancy of those tanks has been influenced by the pace at which we were able to develop the market in Panama.  So this is a greenfield activity for fuel oil on the Atlantic side of the ocean -- of Panama, sorry. And for that operation, you also need to have your offshore bunkering permitting arrangements organized, and that has been delayed. That has been delayed in discussions with the government. It's constructive discussions. But obviously, everybody wants to be very careful that this is handled properly. And that has proven to be taken longer than we anticipated, probably also not helped by governments being distracted with COVID pandemics, and you name it.  So the short of it is that where we are now commercially is not where we planned to be for Panama. So we are, from that point of view, behind. And therefore, the business plan reflects that. And because the business plan reflects that, you need to impair the asset. It doesn't really change the fundamentals of the asset. The strategic location is a sound location, but it does take longer to commercialize it. So we have partly impaired it. It is part of our fuel oil network worldwide.  As you know, we've trimmed that significantly in 2020, where we intervened with our fuel oil exposure, bringing it down from 5 million to 3.5 million cubes and fit for IMO 2020. There's -- a small element of that is Panama. And as I explained, Panama is behind its business plan as we had hoped it would be.
Operator: Our next question comes from the line of Thomas Adolff of Crédit Suisse.
Thomas Adolff: I've got a few questions as well, please. Firstly, just on the oil contract. You mentioned in the call that the contracts run into 2021. Perhaps, if you don't mind being a little bit more specific, is it a good coverage throughout 2021 or presumably these are shorter-term contracts which require renegotiations? So some color on that would be great.  And then secondly, going back to Slide 17, you show a very nice bridge and you also show that the portfolio decisions have impacted your EBITDA by EUR 58 million. But do you mind -- could you perhaps say how much of the old assets you sold actually contributed to EBITDA in 2020? And then my final question is in terms of the new energy businesses, what sort of an EBITDA margin are we seeing there?
Eelco Hoekstra: Thank you, Thomas. I suggest that I'll say a few words about the -- your oil contracts question globally. And then I think the questions on particularly the margin of new energy, I will leave to Gerard and then also the bridge that you mentioned, I'll leave to Gerard. So let me start giving you some insights on the oil contracts and the comment that I made in my presentation. We highlighted that in 2019 -- sorry, apologies, in 2020, we got momentum in the oil markets, and there were 2 reasons for that.  First of all is that we delivered the IMO capacity that we converted for the low sulfur fuel oil, particularly in Rotterdam and in Singapore. And therefore, we could return capacity that was out of service in the early parts of 2020 and the last quarter of 2019. And second of all, is that we saw that the markets were supportive of storage in the early part of 2020 because of the COVID pandemic because demand substantially reduced. Obviously, the need for storage increased, and we saw quite a strong contango structure appear in the markets. We benefited from that. I think you've seen that in the results. And you've seen the occupancy in those locations to go to levels which we deem to be very healthy, between 90% and 95% occupancy on available capacity.  There is -- the markets that you see now, I think, are substantially more balanced. And with that, we've seen a response on the supply side by OPEC and non-OPEC companies collectively to reduce the output of products. And similarly, we've seen also that the take-up of new demand or returning demand has been managed well. So we've seen that the oil price has been relatively stable in the last quarter and also in the start of 2021. So with that, we have seen an environment which is more stable, but we have still sort of continued our contract portfolio from '20 into '21. So we feel -- if you look at our coverage for oil in the oil contracts in '21 compared to '20, we look at that at -- positively or through advantageous in the sense that the contracts that we have today in our portfolio is a very solid basis to start from. So I think this is the guidance we've given. We haven't given any indication of, obviously, price levels or occupancy going forward.  I think that's, as you know from us, we always report on the actual performance. So we will continue to do that. But as I said, if you look at the effects of the contango and the strong oil markets, we, qualitatively, can say that we will benefit from that as well in the year 2021. So with that, I hand it over to Gerard to answer the other 2 questions.
Gerard Paulides: Yes. Thanks for the question, and thanks for your time. The EBITDA bridge shows the EUR 58 million for divested terminals. And what's in there is the effect of 9 months of 2019, yes. Contribution that was in our numbers, and then we sold a big chunk and we missed the fourth quarter. So the total number for divestments that you need to calibrate on is EUR 70 million. That is the EUR 70 million that we gave as a sort of indicator of the EBITDA that we wanted to replace with new capacity coming on stream.  And as I said earlier, if we only isolate the '20 and '21 contribution from new projects, then that is, respectively, EUR 35 million to EUR 40 million and EUR 30 million to EUR 50 million. Now what you need to also bear in mind, of course, is that in between these numbers that I just quoted, you have -- and that goes a bit back to the earlier question on multiples as well, how do you tie it all together? This year, we've also seen quite a big effect on foreign exchange.  And if you just step back and look at the EBITDA profile for the year, so if we correct for the divestments, we start at an increase for this year of EUR 20 million. If you then say, okay, what is the effect of FX and if you were to ignore that you have an increase of EUR 40 million and then if you take Malaysia into account, you have another dimension again on these numbers. So I do think it ties back to the multiple question that we had earlier.  But obviously, business conditions in the year and foreign exchange also influenced these bridges. But again, the question you asked was how do I place the EUR 58 million. It's 9 months of '19 and then 1 missing month's bridges it to '20. How much of that is in 2020? Almost nothing. So the contribution of divested assets in 2020 is almost nothing.
Operator: Our next question comes from the line of Quirijn Mulder of ING.
Quirijn Mulder: This is Quirijn from ING. A couple of questions. First, about the chemicals. As we understood, of course, that second quarter was the worst. So can you give me some comparison between the first half 2020 and the second half? And looking forward, what your view is on the throughput? Have you seen the bottom there? That's my first question. Then with regard to the accounting issue for the PT2SB. Do I understand correctly that the numbers in 2019 and 2020, the contribution from the PT2SB were overstated?  And can you maybe explain, let me say, the volatility in these results as well? And what are we going to see forward for this -- for the numbers? Do we have to take into account lower contribution from this terminal? That's my 2 questions for this moment.
Eelco Hoekstra: Thank you, Quirijn. I will ask Gerard to answer the accounting issue, PT2SB, and then I'll take -- I'll answer your chemicals throughput question. So Gerard, could you enlighten Quirijn, please?
Gerard Paulides: Yes. Thank you, Quirijn. And I do appreciate that we've given a lot of information on PT2SB, but still, it's also a difficult one to dissect. The effects in Malaysia are the combination of commissioning an asset in a period where also the sponsoring asset or the client was commissioning its own asset and had several incidents. So the focus on the completion and commissioning of the assets has to be seen in the context of a delayed prolonged commissioning effort, trying to bring not only the commissioning but also the final CapEx spend on the assets, the commercial decisions, the tax true-up as a result of that in terms of deferred taxes into a sort of completion area and commissioning area rather than into work in progress.  That has been protected and delayed. And therefore, we had to take final stock of that discussion in Q4. So from my perspective, that is the way it's been recorded to make it even a bit more complex. We also had a capital distribution in Q1 2020 of EUR 85 million in our favor, so cash coming to us. And we will have another cash contribution to us of EUR 50 million in '21, possibly '22, maybe the end of '21.  And in between, we have this EUR 20 million charge which relates to, as I said before, the depreciation charges of fixed assets commissioning, deferred tax liabilities, finalizing the completion accounts for the fixed assets, i.e., what did we build? What part of infrastructure for that results in further commercial discussions on the tariffs that you have agreed, including when was the asset available, yes or no for servicing.  When was the customer ready to receive the services where the certain dispensation allowances in the contracts to have commercial discussions around that. All of that is in the mix. And I'm deliberately giving you all those moving parts to underscore the point that this is a whole lot of things coming together on a major industrial complex, which is as good an asset as the Dow asset for us in the U.S. So it's a highly valued industrial terminal position for Vopak. We will now start looking forward to a more stable performing assets. And I don't see the need for you to make any corrections in 2021 on account of this.  Only thing that is still remaining is the capital structure of the venture, and we will update you on that as it happens. And that has to do with the capital distribution that I mentioned. So perhaps very long, long sentence or a few sentences to hopefully give you some more clarity on this item.
Quirijn Mulder: The capital structure of the joint venture might have an impact on your participation in the total, the 26.5%. So it might have an impact on your -- on the state you have, at the end?
Gerard Paulides: Yes, because we have a range for this asset that oscillates between the number that you quoted and a few percentage points around that. That has to do with the fact that there are different classes of shares in that venture. The different classes of shares relate to the different setup of the infrastructure, where there is general infrastructure and specific infrastructure. It's all in one commercial setup with the sponsor. And that is the way that an industrial terminal may be organized. It is much more dependent on the relationship with your sponsor.  In this particular case, it played out as it played out. I think the only comparable one that comes to my mind, that had a similar complication, not complexity but complication was, if you remember, Haiteng in China. Haiteng, we also had an incident. We had a long period of settlement to stabilize and start-up the venture. That's now behind us. And also that volatility is gone. So the message I have to you is this is a good asset that has shown volatility on the cash side and now in the results that you should look through and concentrate on the earnings going forward.
Eelco Hoekstra: Okay, Quirijn, maybe a comment from my side. And that is that it is for me really hard to give you a definitive answer on chemical volume, particularly in the year 2021, and let me explain you why that is. I think in last year, you're well aware of the differences that we've seen in volume of the durables and nondurables and we've seen a stark difference there. Occupancy held up in the year. And what we've seen by the end of 2020 is that there was renewed confidence in the durable goods that came back.  And generally, chemical producers reported solid year-end results, and they signaled continued momentum for them sort of early '21 because demand in electronics, automotive and appliances led recovery supported for them their prices and their margins. So they radiated sort of a positive view on the markets ahead of them. But from -- it's really hard to see how that will affect -- will be sustained because, I think, we haven't seen the full effect of the pandemic and the recovery.  There's still some uncertainty in whether the spurt in consumption in Q4 is a temporary one or whether we see that continue. So that's why there's a bit of caution on my part. If I look at the portfolio of Vopak, I'm the -- the ITL business that we have, the Industrial Terminal business that we have is -- has performed and will perform well. I think plants are running. And we've seen that, therefore, with the long-term structure, we have confidence in the continuation of that performance in '21. I think if you look at the throughput, that for me is indeed a question mark.  And I think, particularly at the -- as I said, at the hub locations on how much throughput we can generate in those locations for me is still a question mark of all the aspects that I mentioned. So I'm afraid that I need to leave you hanging, but there are just too many uncertainties in how '21 will play out, that I think we just need to wait and see on how that pans out.
Operator:  And our next question comes from the line of Andre Mulder of Kepler Cheuvreux.
Andre Mulder: Okay. One question then. In oils, you said that you would strengthen your contacts. Should we expect also some disposals?
Eelco Hoekstra: I'll take that answer. Thanks for the question. I think what we've done is we have made the strategy that we have pursued already for a while more explicit, Andre. And that means that if you look at the capital allocations that we've made and also the business development funnel that we've developed, it is directed more towards industrial, chemicals and gas and hopefully, new energy. Oil will remain important for us.  So I'm happy that you asked that question. But what we see is that if you look at our network and we've said that already a few years ago is that we will look at an oil network which is centered around the hubs. So we are divesting the secondary locations around those hubs.  And we've done so. You've seen us selling off Hamburg, Sweden, the U.K. and, for instance, Spain. But we also made the comment is that we will continue to invest in what we consider the large and most important imported distribution locations for oil. So that's where we have invested in Mexico, in Indonesia, in South Africa and actually expanded that recently. I think that strategy still holds true today.  So I think what we've done is we sort of made the strategy execution that we had in the last few years just more explicit. And what you can expect is that if we move on that portfolio, it will be, indeed, to strengthen the hubs to expand those major shores so that will be part and parcel of our thinking.
Operator: Our next question comes from the line of Thijs Berkelder of ABN AMRO.
Thijs Berkelder: Thijs Berkelder of ABN AMRO longer name than usual, and I won't keep it on 1 question because I think that's ridiculous. We spend a lot of time on you as a company and we deserve more than just 1 question or maybe 2 questions per analyst. I'm really getting pissed off here. Sorry for that comment. But going back to Slide 17. That's a great slide, really big help on getting the bridge on 2020. Still a question there. If I look at your product movement revenues and your storage and handling related services revenues, they've dropped by EUR 45 million to EUR 50 million year-on-year and not only the chemical throughput EUR 20 million to EUR 25 million.  So where is the other throughput related to? Then secondly, what now really is the starting point for your guidance for 2021? Is it EUR 792 million, is it EUR 812 million or is it, let's say, 4x the EUR 208 million EBITDA we delivered in Q4? 4x Q4 is already, let's say, EUR 832 million. So it's already delivering your guidance compared to the EUR 790 million, meaning nothing extra can be expected.  Please fill the guidance for 2021 which is giving the same bridge as you gave for 2020. So on oil markets, I heard the small positive, probably because of a better occupancy and better contracting level right now in chemical throughput well, the second half, if I look at the product movement, seems to be -- seems to have been weaker even than H1. So if I hear your response, you are afraid that it will stay at the low level of the second half. Is that correct? Then in 2021, what at this month is already the forecast effect -- or ForEx effect you expect to affect the EBITDA in 2021?  And it's clear that the costs will rise. On the cost, I have a question, why the costs are going up. Why you signed a CLA with substantial rises in salaries? And on cost, why was the OpEx in Q4 so much higher than in previous quarters? Was that maybe related to bonus payments? And if so, will this -- will that cost level continue into the first and second quarter or will they fall back again? Is the cost guidance -- finally, is that current ForEx is that 2020 average ForEx level? Or is that -- yes, well, what is our cost guidance expectation level?  Those were for now my questions, sorry.
Eelco Hoekstra: Thank you, Thijs. You don't have to apologize, Thijs. I think everyone has right to emotion. So it's -- we absolutely listen to your guidance, where you have several questions. I would like to give that to Gerard to fill you in on the questions that you have.
Gerard Paulides: Okay. Let's deal with that. First, the currency. You're absolutely right. The currency is a difficult one to pin down. If you look at the sensitivity of the company, and we've given guidance on that on the EBITDA sensitivity level, and particularly, we've always highlighted the U.S. dollar and the Singapore dollar. In 2020, we also had a quite remarkable move of the Brazilian real, but we don't typically give guidance on that, but it was a noticeable effect.  On the U.S. dollar, the EBITDA sensitivity is approximately EUR 16 million for $0.10 movement. On the Singapore dollar, the move is about EUR 11 million at the EBITDA level for $0.10 movement. The average U.S. dollar in 2020 was $1.14. And the current rate of the dollar, as you know, is $1.2020 -- well, $1.22. Now, I don't know, you don't know where the U.S. dollar will go in the course of 2021. But we do know that starting the year compared to last year, there is a delta between the average of last year and the current prevailing rate.  For the Singapore dollar, the actual in 2020 was $1.57 million, and I believe the current rate is $1.60 or so, a little bit weaker. The Brazilian real and the Australian currency that took such high movement, the Brazilian real and the South African one, I think they've recovered quite a bit, but they also fell quite a bit. And the South African real is particularly -- excuse me, relevant for the Lesedi and the Durban assets. So there's a bit of gymnastics that, I'm afraid, you still have to do in terms of estimating and trying to neutralize that FX effect.
Thijs Berkelder: As it is now, let's say, roughly, we're starting with a minus of EUR 25 million?
Gerard Paulides: If the rates prevail, then -- well, I said what I said. Yes. In terms of the chemicals throughput number, I think you said why are you showing 20% to 25% various you can identify only a lower number. I couldn't quite as quickly as you did find the lower number that you spotted lower, but...
Thijs Berkelder: Sorry, in your annual report, you gave a breakdown of revenues per product group and they are only already in the consolidated operations you have a minus year-on-year of about EUR 40 million to EUR 60 million in product movements and storage and handling related services. And of course, on top, are coming then all the moves in associates.  So other than that, then the total effect might be much bigger than the EUR 20 million to EUR 25 million, maybe it's only EUR 20 million, EUR 25 million in chemicals than there had been a similar amount of negative profit movements on the oil side.
Gerard Paulides: That's correct, Thijs. This is the throughput numbers in the chemicals business that we've shown here. So I can only confirm that.
Thijs Berkelder: Okay. And going forward, so are we expecting then the low second half to continue?
Gerard Paulides: What you've seen in the chemicals business, but perhaps Fritz or Eelco can say a little bit more about that is, I think, the chemicals companies have seen, they were cautiously getting more enthusiastic towards the end of the year in 2020. And I think the start of the year, depending on which product group you are in chemicals, people seem to be more confident.  Now for us, that would be good. Because obviously, if their throughput levels and product movements increase, we benefit from that. So I can only say that whether it's what '21 or '22 will bring and how quickly the GDPs in countries because that is often what is driving this actually in aggregate reestablish themselves, the better it is for us. 2020 has just not been a good year for throughputs. So to see it go down, I think would be unlikely over time. To see it go up would be logical.  But I want to quickly check in with Eelco whether he wants to qualify this more. Otherwise, I go back to the remainder of your questions. Eelco, do you have anything else to say on that chemicals activity?
Eelco Hoekstra: No, I think, I did in the previous question, Gerard. Thank you.
Gerard Paulides: Okay. Let me then go on to cost. I think the cost performance is influenced also by the fact that what we see in many ports worldwide is we see pressure as a result from port fees and leases. So that's not helping. We need to compensate that in our overall cost performance, together with indeed, pressure that we get from regular salary increases and salary rounds. So whatever we give away on that, we need to somehow make good in the rest of the cost base. In terms of a Q4 effect, that was not incentive related.  We aggregate the multiyear incentive programs and calibrate that throughout the year so to reduce volatility. And we make also an estimate on the short-term incentives and calibrate that for the year itself so that normally, that would not be a big move unless we have a surprise in the fourth quarter. So it's not incentive-related, Thijs. It is related to either one-off items in the quarter which are often insurance or claim or legal settlements. We had quite a few legal settlements in Q4 that we're going through the numbers. And I think...
Thijs Berkelder: Yes -- sorry, Gerard, in your annual report, you indeed show advisory fees of EUR 29 million versus EUR 20 million a year ago. So that could be that, that primarily has landed in the Q4 results.
Gerard Paulides: Yes. That is partly, is that correct, and that is also some other advisory work that we conducted to develop our new business development position. So in many ways, that is good money, but it hurts in the P&L, but it's deliberate money that we spent on new business development or on optimizing existing positions. Those advisory fees also were impacting Q4.
Thijs Berkelder: Yes. And maybe 1 add-on question on expenses. In personnel expenses, you capitalized a lot of personnel expenses, EUR 74 million. That's, say, 25% of what you report. And you indicate that is related to more or less assets in construction. But over the years, it only has gone higher and higher. Of course, logical, you have a lot of assets in the construction. It's 25% of total how can it run so high?
Gerard Paulides: Yes, a valid point. We did spend EUR 500-plus million on new business development or growth CapEx, if you wish. So that was also consistent with a peak in CapEx investment. So from that point of view, logical. We also do have quite a flexible workforce on projects. So if all is well, then that workforce contracts again with projects rolling off.  So if you over the peak of that investment and you capitalize labor or for that matter, capitalized interest because you have the same effect there, but capitalized labor reduces but also the total labor bill on account of flexible people that work on projects would come down again. But it is correct. We are spending a lot of people, resources in our investment program, and it is high on account of the EUR 500-plus million that we're spending. So yes, that is correct.
Thijs Berkelder: Is it also -- or is it also related to your IT expenditures, your IT personnel or...
Gerard Paulides: Fair enough. Fair enough. We do have -- if you look at our total numbers in the company, we do have quite an investment for IT. But I think for IT, perhaps the stage at which we are and what we are doing, maybe it's good to hand over briefly to Frits. Frits, would you care to make a few comments on IT?
Frits Eulderink: Yes. Thanks, Gerard. I think yes, on IT, indeed, we are capitalizing quite a few personnel cost. And that is related, I would say, to 2 main things. One is we are, as you know, developing our own terminal management software, what we call the my service package under moves. So obviously, that has development cost which is being capitalized through personnel. And then we are also in the middle of our cybersecurity upgrade program, which we call coins, which also has a similar effect.  So you're absolutely right, Thijs, that as we have a philosophy of ultimately thinking that the total cost of ownership for quite a few packages is lower. When we develop them ourselves, you see some of this cost being capitalized rather than end up just straight into P&L when -- like you have when you effectively buy a license for an existing package.
Thijs Berkelder: Yes. But your guidance is for EUR 30 million to EUR 50 million IT expenses. In other operating expenses, I see EUR 28 million. Those are probably normal external IT expenses and then -- and this should be then those EUR 30 million to EUR 50 million? Or no, you also have probably...
Eelco Hoekstra: Thijs, this is Eelco. May I suggest that this is a question, I think, that we can accommodate outside the meeting and just get back to you with IR on going through these numbers?
Thijs Berkelder: Yes. Yes. Yes, please.
Eelco Hoekstra: Okay. I think we have room for 1 more question. Is that correct, Laurens?
Frits Eulderink: Let me just -- Eelco, sorry to interrupt you. But I do want to check with Thijs whether because of his opening statement that he was very disappointment with the time that we actually dealt with all his questions because he is investing and has invested a lot in the company analysis. So I do want to check back, Thijs, whether we have given you the time that you were hoping to get.
Thijs Berkelder: Yes, you have. Of course, I have a lot more questions, but it's simply that you're spending 1 hour per buy-side investor. And I would say, for the whole sell-side community, we need more Q&A time. That's simply it.
Frits Eulderink: Okay. That's appreciated the feedback. We'll deal with that. And thanks for being so upfront on that. We listen to you. Thank you, Thijs. Eelco?
Eelco Hoekstra: Thank you, Thijs.
Operator: Our final question comes from the line of Juri Zanieri of Kempen.
Juri Zanieri: So well, I will limit 1 question on my end, mainly on the new energy business. I was wondering what type of returns are you looking at? You have mentioned that you are assessing roughly more than 10 infrastructure projects. So would it be good to have any idea on the returns that you are looking at, the competitive landscape. And I was also wondering if the guidance on EUR 300 million to EUR 350 million is CapEx already include part of allocation to new energy. Maybe it will be good to know up to what percentage of this CapEx guidance could be allocated to this sector?  And still on the CapEx for 2021. I feel that you definitely have more rooms to invest on new growth project. But in case you cannot find other interesting attractive projects, would you consider to opt for a new share buyback?
Eelco Hoekstra: Thank you, Juri. I think what we can do best is first listen to Fritz who laid the land on what type of new energy investments we are considering so you can get a bit of an idea on the relationship between sort of how the markets will function, and then I'll probably hand it over to Gerard to give you a sense on the return and most -- and also on your question on the capital -- the use of capital in the company. So the floor is yours, Frits.
Frits Eulderink: Okay. Thanks, Eelco, and thanks, Juri, for the question. I think what we see in the new energy space, Juri, is obviously a very interesting and multifaceted landscape. But if you ask me, what are some of the developments that we expect to take place first, from our perspective, then I would say it's our involvement with the liquid organic hydrogen carrier technology development. So some of the things that could become interesting on a shorter time scale there are or some sort of a scale-up pilot demo to show to society that this technology is getting ready for larger deployment. If you then say what's next, then I think you're aware that leading ports, including Rotterdam, are looking at taking care of carbon dioxide capture and storage.  So we also expect that whereas a lot of the perhaps port carbon dioxide could be captured through pipelines, eventually, other industrial areas will want to be connected to also deliver their carbon dioxide to the sinks in, for instance, the North Sea. So we do see terminaling opportunities in carbon dioxide capture and storage as a next phase. And then already quite a number of countries which are richly undoubted renewable energy are thinking of exporting that energy in some renewable form, be it either through ammonia or through liquid hydrogen to what are expected to be short markets of the future, including Europe.  So we are in discussions there. And I think if you look at the readiness level of the various technologies that it's likely that there ammonia will be before liquid hydrogen, simply because ammonia, as we already alluded to also in the presentation, is a substance that has been handled before on large scale, and so we have most of the technology. If -- and if it is industrial use, I would say, we have all the technology. So -- and then eventually, you'd be looking at hydrogen and have heard, if I take the example -- well, there are 2 examples here, we're looking in Singapore with Keppel at running a data center on hydrogen and whereas that still sometime away, it's certainly extremely interesting from a development perspective.  And closer to home here in Rotterdam, there is the so-called H Vision project of the port of which we are a partner, where we are looking to basically supply hydrogen to the existing industry. So those are some of the developments that are ongoing. Now I think you've heard a little bit in what I said, I don't expect that they will really bake off in a very significant way already in this year 2021. There may be some first smaller investments, but certainly the -- as soon as the opportunity there, we would like to invest.  And I do expect that within the coming 5 years, those opportunities will really become substantial. That was it from my side, Eelco.
Eelco Hoekstra: Thank you. Gerard?
Gerard Paulides: Okay. Thank you, Juri. Of course, the buyback question or distribution to shareholders or if I step back even further, the financial framework, the principles remain exactly the same, Juri. If we feel that there is a balance sheet which is not fit for purpose and overcapitalized, then we will not obviously  dividend is high on our list, will always be high on our list, but we've also proven that we are prepared to use distribution tools like buybacks. So we will seriously consider if and when it happens. On the returns, well, Fritz already gave you the answer on new energy and feedstock. The way I look at it, maybe it's repetitive to what Fritz said is.  At the moment, this is coming at us with a force, much more intense than 2 years ago or 5 years ago. Supply chains are complex. You need to get into that supply chain and find your sweet spot where you can create value. In the first instance, this will be a value discussion being in ammonia, being in methanol, being in new energy, flow batteries or what have you. In first instance will be a value discussion and seen as such by, I also think, the investment community. And then you have to look through the revenues over time.  But in first instance, this will be a capital allocation discussion. And we will not compromise the portfolio return on our capital investment. So hopefully, that gives you the sentiment Juri, because I think that's what you need to hit on this topic. Back to Eelco.
Eelco Hoekstra: Thank you. Thank you very much, Gerard, Frits and everyone in the call. I think with this, I think, I would like to conclude the call that we had here today. I think, first of all, apologies for taking a bit more time than we had originally planned for, but I think it was very much worth the effort. I think, second of all, I think will take good notice of the comments made by Thijs that we plan for sufficient time in the Q&A session that we can go through the the questions in due course.  And lastly, I think it's been probably taken a bit more time also to moderate it from our side because, I think, Fritz, Gerard and myself are sitting in different rooms. So we needed to coordinate it a little bit due to COVID. So therefore, it's taken a little bit more. But I think it was a good call. We've been able to handle and give you a handle on most of the developments that are taking place in the industry. And thank you again for your attention, and I'm sure to speak to each other again in the not too decent future.  So with that, I hand it back to Laurens, if there's anything left for you to be said.
Laurens de Graaf: Thanks, Eelco. Thanks, everybody, for participating. I think that closes the round of call. See you for the next update, which will be the Q1 update, 21st of April. Bye-bye.